Executives Joe Cormier – VP, Corporate DevelopmentGeorge Pedersen – Chairman & CEOBob Coleman – President & COOKevin Phillips – CFOAnalysts Mike Lewis – BB&T Capital MarketsJoseph Vafi – Jefferies & CompanyTim Quillin – Stephens Inc.Bill Loomis – Stifel NicolausBrian Kinstlinger – Sidoti & CompanyOperator Good afternoon. My name is Sherlan, and I will be your conference facilitator today. At this time, I would like to welcome everyone to the ManTech International Third Quarter 2008 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period.(Operators instructions).At this time, I will turn the conference over to Mr. Cormier. Please go ahead sir.Joe Cormier Thank you, and welcome to ManTech International Corporation’s third quarter 2008 conference call, and we thank you again for joining us today. I am Joe Cormier, Vice President of Corporate Development and leading today this call for ManTech is George Pedersen, our Chairman and Chief Executive Officer; Bob Coleman, our President and Chief Operating Officer; and Kevin Phillips, our Executive Vice President and Chief Financial Officer.In our prepared remarks, George will discuss our strategic positioning and outlook for ManTech. Bob will touch on our operational highlights, and Kevin will review our third quarter financial performance and guidance for the fourth quarter and full year 2008.Before we begin our discussion, it is important that we remind you that on this call, we will make statements that do not address historical facts and thus are forward-looking statements made pursuant to the Safe Harbor provisions of the Private Security Litigation Reform Act of 1995.These forward-looking statements are subject to factors that could cause actual results to differ materially from anticipated results, and include the risks and uncertainties identified in our earnings press release under the caption, Forward-Looking Information. For a full discussion of these factors and other risks and uncertainties, please refer to the section entitled Risk Factors in ManTech's annual report on Form 10-K filed with the SEC on March 17, 2008, and in ManTech's other public filings. Also, we undertake no obligation to update any of the forward-looking statements made on this call.Now I would like to turn the call over to George Pedersen. George?George Pedersen Good afternoon and thank you for participating in today's call. We are pleased to report our third quarter 2008 financial results, as you see from our press release, our third quarter operating performance was exceptional on all fronts with growth of 27% for revenue, 33% for operating income, and 31% for EPS.In addition to our strong growth in revenue and earnings, we produced outstanding cash flow of $66 million from operations and we are able to pay down over $53 million of our debt. This pay down is even more impressive, and given we completed the strategic acquisition of ETG in August and funded the $25 million purchase price and associated costs out of operating cash flow. We welcome ETG to the ManTech family and we are very pleased to add their high-end cyber security operations expertise to our existing capability. This is a crucial segment of the market.As you may know, current appropriation bill contains approximately $15 billion to $20 billion for cyber security imitatives over the next five years, and ManTech is positioned now to solidify our growth opportunities in this area and support our customers in this extremely important mission.We have raised our forward guidance as a result of our continued operating visibility and momentum for the remainder of 2008 as Bob and Kevin detail. This is based upon record bookings and backlog we enjoy as of September 30th.To augment our organic revenue growth, we will continue to pursue strategic acquisitions to enhance our mission capabilities, strengthen our market position, and increase our revenue and earnings growth. By virtue of our exceptional cash flows and ample line of credit, we have the financial capacity to execute this plan.We will be prudent and selective going forward and feel comfortable that our current credit facility provides all of the purchasing power necessary to achieve our growth goals. As you all know the Defense and Homeland Security appropriation bills are only two of the three appropriation bills passed by the Congress and signed into law by the President prior to October 1st.Coupled with advance 2009 funding contained in the last supplemental appropriation bills passed in early July, our key customers have significant funding to execute their mission over the next four quarters. The advance supplemental provided funding for $66.5 billion [ph] for Defense and $3.6 billion for the State fund.The final Defense appropriation bill provided $488 billion combined with the supplemental funding, now the total is over $550 billion. As we move through 2009, there will be additional spending bringing the total close to the $700 billion for the calendar year for Defense.This funding environment is consistent with recent history and ManTech stands a benefit from the DoD and intel funding which comprised 95% of our revenue base. We continue to see long-term growth for our business throughout 2008 and 2009, and we look to continue executing in support of our nation, our customers, our employees, and you our shareholders.We are very proud of approximately 7,700 employees serving here and in 40 nations around the world including those on the battlefield in Iraq and Afghanistan. They are a key part of the critical mission of confronting global terrorism.With that, I will now turn the call over to Bob Coleman. Bob?Bob Coleman Thank you George. Q3 was another great quarter for ManTech on all fronts. We continued our strong revenue and earnings growth, delivered record bookings, and completed the acquisition of Emerging Technologies Group, which added scale to our already significant cyber operations.Additionally, our focus on operational efficiency coupled with increases in direct labor allowed us to expand operating margins to 8.3%, which reflects a 30 basis point increase over the last years third quarter.As I mentioned, we had record bookings during the quarter of $1.42 billion. These bookings translated into total backlog of $4.3 billion and $1.2 billion of funded backlog as of September 30, both at record levels. Roughly 30% of those bookings came from expansion of existing contracts and new business awards. Our third quarter book-to-bill was 2.9 times and year-to-date book-to-bill now stands at 2.0 times revenues.Key awards during the quarter include the $820 million two-year sole source follow on to our US Army Countermine program as well as our $124 million re-compete award of our global IT modernization effort for State department. In addition, we received new work with NAVSEA for IT support of $151 million over five years and another $138 million three-year C4ISR award from the Army related to persistent surveillance in South West Asia.This army C4ISR award is similar to our RAID contract that we received in the second quarter. It is consistent with our view that our armed forces are establishing intelligence systems for the long-term presence we need to have in that region.Once again, these awards demonstrate ManTech’s positioning at the heart of our customers’ mission and the strong demand and funding allocated to that. Our qualified pipeline currently stands at $11 billion and we are tracking 32 opportunities that are over $100 million each. Our pipeline coupled with our year-to-date bookings and backlog provides us with solid visibility to continue our impressive track record of organic revenue growth.Turning now to our acquisition of ETG, I am also very happy to welcome them to the ManTech team. We are already seeing the benefits of combining our existing cyber capabilities with theirs and are seeing numerous near and long-term opportunities to continue to grow our presence within the community.As we mentioned in specific press releases and subsequent presentations, ETG brings to ManTech a unique and highly clear culture focused on computer forensics. Their customers are complimentary, and combined we look forward to further penetrate into the cyber market.As I detailed on our last call, the comprehensive national cyber initiative calls for significant new efforts to be developed over the next 5 to 10 years with $15 billion to $20 billion of planned funding to accomplish the 12 key initiatives detailed in the plan. We are starting to see RFI’s specifically related to the cyber initiative and expect to see the flow of opportunities in this area pick up in the back half of 2009.As these opportunities are awarded and existing programs continue to ramp up, we anticipate that 2010 and beyond will be strong growth years for ManTech’s cyber business. To that end, we believe that ETG will speed up our growth in the market and we look forward to building our already strong presence.The combination of our strong bookings and potential growth on existing contracts create significant demand for additional employees. Through October, we have added 380 FTE’s and today we have approximately 650 open job requisitions, which combined with the expected ramp up on recent wins, provides us confidence in meeting our labor requirements for 2008.During the quarter, our percentage of top-secret cleared employees was 47%, which remains a clear differentiator for ManTech. Going forward, we will maintain our focus in mission critical markets, yet remain diversified across the intelligence and DoD community. We are well positioned for continued long-term growth in revenue and earnings.As a result of the demand, we see across our contract base and our expected head count growth, we have again increased our 2008 revenue guidance to $1.866 billion to $1.886 billion. This represents 29% to 30% revenue growth of our 2007 base.In closing, we are excited about our growth prospects for the rest of 2008 and going forward as we continue to leverage our market position to build ManTech into the premier mid-tier national security company.At this point, I would like to turn the call over the Kevin Phillips. Kevin?Kevin Phillips Thank you, Bob. As you saw on our press release, third quarter revenues of $486 million represents 27% total revenue growth with 23% coming organically for the third quarter compared to last year’s third quarter revenues of $383 million.Our core markets continue to be strong and we continue to benefit from our positioning across the DoD and intelligence community customers. Our Countermine contract generated over $97 million in revenue in the third quarter based on increased mission requirements. We expect this to continue in the fourth quarter of 2008, and as such are expecting $95 million in revenue from the contract and approximately $340 million for the year.The contract revenue mix remained relatively unchanged during the quarter. 98% of revenues came from federal government sources, while Defense, Intelligence, Homeland Security, State Department, and Law Enforcement related businesses comprised 95%.The proportion of revenues in the quarter coming from contracts billed on a time and material basis was 66% of revenue, fixed price was 14%, and cost-plus was 20%.With our record bookings during the third quarter, our total backlog as of September 30th rose to a record $4.26 billion, and funded backlog also reached record levels of $1.21 billion. Total backlog was up 21% over the last year, while funded backlog grew by 43%. This continued strength in funded backlog demonstrates ManTech's positioning in the center of the nation's mission-critical security operations.Our operating profit was $40.3 million in the third quarter, up 33% from $30.4 million in last year's third quarter. Our operating margin of 8.3% was up significantly from 7.9% in last year's third quarter. In the third quarter, Countermine contributed approximately $2.7 million in operating income. The rest of ManTech's core services business delivered 9.7% operating margin.Based on our business expansion and strong operating margin, our third quarter net income was $23.9 million, up 37% from $17.5 million in last year's third quarter. Our effective tax rate for the quarter was 39.6%. Our performance translated into diluted earns per share of $0.67, up 31% over last year's third quarter.Turning to the balance sheet and clash flows, as of September 30th, the company had $7 million of cash and $45 million of debt compared to $98 million in debt at the end of the second quarter. This debt pay down occurred even after our funding of the ETG acquisition, which was $25 million. During the quarter, we generated over $66 million in operating cash flows or almost three times our net income. This was driven by our improvement in receivable day sales outstanding at the end of September, which was down five days to 64 days and down ten days from the end of the first quarter.Focusing now on the guidance in our press release, we have provided our initial fourth quarter 2008 guidance and increased our full year 2008 guidance. Our fourth quarter 2008 revenue guidance of $490 million to $510 million represents 16% to 21% total growth over last year's fourth quarter of 12% to 17% coming organically. We are forecasting an operating margin of 8.25%.Our net income range of $24.2 million to 25.2 million, results in earnings per share guidance of $0.67 to $0.70 per share on weighted average shares of 35.85 million. This represents 10% to 15% growth over last year's fourth quarter earnings per share. Based our reduced debt levels, this guidance assumes interest expense of $375,000 in the fourth quarter and a 39.6% effective tax rate.Based on our strong performance and outlook, we are increasing our full year 2008 guidance, which does not include any future acquisitions or divestitures to between $1.866 billion and $1.886 billion. This represents 29% to 30% revenue growth from our 2007 full year results and implies organic growth of 18% to 19% in 2008.We are forecasting our operating margin at 8.15% for the full year 2008, which is up from the 2007 operating margin of 7.8%. We estimate our 2008 net income to be $89.9 million to $90.9 million, which results in earnings per share guidance of $2.53 to $2.56 per share, based on weighted average shares of 35.47 million.This earnings per share range represent 30% to 31% growth over the 2007 results of $1.95. Our guidance assumes an overall interest expense of $3.35 million and a 39.6% effective tax-rate for 2008. In closing, we are excited about the prospects of our business as we are operationally well-positioned for continued growth in revenues and profits supported by our strong balance sheet and cash flows.We will be happy to take your questions.Question-and-Answer Session Operator (Operator instructions). We will have our first question from Mike Lewis, BB&T Capital Markets.Mike Lewis – BB&T Capital Markets Good evening, nice quarter.George Pedersen Thank you.Mike Lewis – BB&T Capital Markets Bob or George, I was wondering can you help us quantify some of the relative sizes of the cyber RFI’s that we are starting to see come through from the customer, and then I have a followup.Bob Coleman Right, yes Mike. Again, with the money just getting approved and beginning to flow, we do not expect to see a lot of the RFI's. On the RFI’s now, we do not actually see the competitions occurring until Q2 at the earliest of 2009, but from our point of view, the back half of 2009, we just recently did win a small cyber – NCI cyber contract at DIA and that contract we believe is one of the first we have seen outside of our previous large award there.Mike Lewis – BB&T Capital Markets Okay that is helpful, and then if I could just shift over to your employee base over in Iraq and Afghanistan, once you start to see some of these employees rolling off out of the desert, what do you think – how is that going to impact the profitability of the firm? Are we going to see a benefit to profitability or is this somewhat higher margin type work that they are doing over there?Kevin Phillips Mike, I will speak generally to the contract and then to the rollout you speak of, I will provide comment, and then Bob or George can add to that. We have not seen any change in the mission requirements from our customers as we are seeing increased requirements in both Iraq and Afghanistan. At some point in the future, the material close may reduce that there is no margin and there is no fee on the material component. As a reminder, the RSC business we have may increase the amount of requirements if there is a reduction in forces that impacts our business out there, but we do not see any change in the requirements that are going to be reducing the staffing in the tier of operations and is result of the profitability as well, and I will hand that over to Bob.Bob Coleman Yes, as a matter of fact Mike, I think we see continued double-digit growth in that program. In 2009, we are seeing increased requirements, like Kevin said, in Afghanistan and the margin on the direct labor there is very strong, so even if and when the materials trail down, I still think the work will continue as the vehicles may be pulled back to Kuwait, may be come home, basically our relationship is very strong with the customer and where the money goes is – for these vehicles is where we will follow. Does that answer your question?Mike Lewis – BB&T Capital Markets Yes, and my take away is here is that significant reversal in the number of employees you have overseas is not going to end anytime soon within the next, say, 2 to 3 years?Bob Coleman Overseas, I am talking about where the vehicles go, I expect our workforce will go, but also keep in mind that, you know, in the script I talked about RAID and VOSS as a new award over there, and we are seeing an increase in activity of the C4ISR systems, persistent surveillance systems, and of course we are staffing up to support those as well, so I think that we are already seeing the offset, if you will, occur.Mike Lewis – BB&T Capital Markets That is exactly what I was hoping for, okay, thank you very much.Operator We will have our next question from Joseph Vafi, Jefferies & Company.Joseph Vafi – Jefferies & Company Hi, good afternoon, great results here.George Pederson Thanks.Joseph Vafi – Jefferies & Company I was wondering if we could talk maybe a little bit about the pipeline, obviously a real big quarter, and I guess, it would be fair to say there was probably a little bit of flush here at the end of the government’s fiscal year. How is the pipeline looking now relative to, you know, say three or six months ago considering the big awards in the quarter and, you know, the fact that Countermine has now been re-awarded as well?George Pedersen The qualified pipelines just under $11 billion, which is pretty consistent with the previous quarter, Joe, I mean, we continue to see a lot of opportunities out there and a lot of large opportunities. We are tracking over 30 opportunities in the pipeline over $100 million, and we just see continued strong demand for our services.Joseph Vafi – Jefferies & Company Okay, do any of those large deals or is the pipeline – has it really started to include some of, you know, these increased cyber initiatives that you are starting to talk about a little bit more or is this kind of still in some of the other traditional areas of strength for the company?George Pedersen It has been in the traditional areas Joe, and again we are not expecting to see – in my all discussion with the customers, they are not expecting to see the money flow until the back half of 2009, so you know, the pipeline will start filling up coming into the new year, I am sure of that, and the opportunities will come out and we will start seeing them awarded in the back half of the year. In terms of large opportunities, I mean, there are some large IDIQ’s in there that we are well positioned for and we are priming, but I cannot point a one specific one for you.Joseph Vafi – Jefferies & Company Okay, and then maybe one, just quick one on margins, ex-Countermine obviously, definitely an industry leading operating margin for the company, can it go higher from here, do you think, and we have heard from chatter a little bit about more price sensitivity coming out of government customers moving forward and you heard some of that and do you think that might play into your model moving forward as well? Thanks.Kevin Phillips Joe, it is Kevin. I always concern myself with that and our performance is proven other wise. I would say that going into the next year, I think that we will be exceeding an 8.2% operating margin just based on the staffing and the requirements, more details would be provided later, but in the markets that we are in, we have not seen that price competitive nature as much as in other areas. I will let Bob speak to that.Bob Coleman Joe, in terms of, you know, we are anticipating some of that into the space and of course we do not believe that margins have to come down to be competitive and that we can do it with more creative solutions for our customers, creative pricing strategies as well, which is what exactly we are planning for.George Pedersen I think some of the margin discussing you are hearing has to do all with the acquisition commodities as opposed to the type of research services that we provide, and as everyone said here, I do not think we see a real hit on our margins.Joseph Vafi – Jefferies & Company Thanks very much.Operator Our next question comes from Tim Quillin, Stephens Inc.Tim Quillin – Stephens Inc. Hi good afternoon, another nice quarter. George Pedersen Thank you.Tim Quillin – Stephens Inc. Did you say how much you expected ETG to contribute in sales this year?Kevin Phillips We did not. We have said in 2009, we expect about $20 million in sales.Tim Quillin – Stephens Inc. Okay, and this is quibbling a little bit, and I understand, but if you take out or if you factor in the ETG contribution and the amount that you raised Countermine, one might have expected you to raise your overall sales guidance a little bit more than you did, was there any factors in there that made you a little bit conservative on other things?Kevin Phillips The only thing we are factoring here are the holiday seasons on the services component and try to make sure that we factor for that.Tim Quillin – Stephens Inc. Okay, and Kevin you are always good about giving us the revenue for RSC and JERRV, do you have that in front of you?Kevin Phillips Yes, RSC was $31 million and JERRV was $25 million.Tim Quillin – Stephens Inc. Was that RSC down or was that – but that was rate related?Kevin Phillips Partially rate related and partially just material flows on that contract as well. It is a mixture, but it has not started.Tim Quillin – Stephens Inc. Okay, and if I could sneak in one more question, can you talk about the other emerging opportunities on C4I – in particular BetSEA [ph] and how you might be positioned for opportunities there? Thank you.Bob Coleman I think we have been very good at working with our customer to identify the – work with them on their planning phase, so that we are well positioned for when the opportunities come out. RAID was a great example of that. VOSS is a good example of that. BetSEA is another RAID like solution that is in our pipeline as well, so we obviously feel very well positioned. These things have many different names, so I think the one you are referring to the one word tracking that is very similar to our RAID program, but these things have – like I said, there is a bunch of different names for them.Tim Quillin – Stephens Inc. Yes, thank you.Operator Our next question comes from Bill Loomis, Stifel Nicolaus.Bill Loomis – Stifel Nicolaus Hi, thank you, a good quarter. Looking at the cyber opportunities, could you tell us what these RFI’s – what – just generally what area are they coming out of the DHS side for civilian or the intelligence agencies or rather the DoD agencies?Bob Coleman Well, the intelligence agencies have the charter to provide comprehensive cyber operations for the federal government. DHS obviously has a piece in that. The way these opportunities are is you are going to see a lot of information assurance type opportunities, intrusion detection, intrusion prevention systems, you are going to see an operational component of this, but along with it you are going to see an analysis center stood upright because there has to be an analysis capability now. Along with that, a counter intel capability, a threat assessment capability, damage assessment capability, so it really, when we say comprehensive cyber, we are talking really end-to-end, do not just look at it as information assurance and operation, there is a large analytical piece and a CI piece to this as well.Bill Loomis – Stifel Nicolaus But are you seeing – which area are you seeing most of the flow today? It is for the –?Bob Coleman Again, keep in mind where the – these things do not exist now, so the RFI’s, for example, the one we just recently won at one of our intel customers was to develop a framework based around what I just told you. Right, how does an analysis center look like, what does information an assurance program look like, and how do you tile these together and fuse it with other intelligent sources that are coming in.Bill Loomis – Stifel Nicolaus Thanks.Bob Coleman Did I explain this?Bill Loomis – Stifel Nicolaus Yes, I mean, I definitely want to pursue this a little bit further later on, but just dropping one more question on the – just in Afghanistan or Iraq, what is your split now in terms of the programs you have over there between what the work is being done to support in Iraq and what work is being done to support in Afghanistan?Bob Coleman Well, it is Countermine and JERRV, I mean, those are the two main programs. We are seeing a lot of the MRAPs move into Afghanistan and we are increasing our support for those in theater. Are you looking for the specific revenue breakout? I mean with head count, there are probably three times as many in Iraq as there is Afghanistan.George Pedersen At this point.Bob Coleman Yes.Bill Loomis – Stifel Nicolaus And how about outside of that, just looking at things like RAID and some of the ISR stuff that you are doing?Bob Coleman We have that lumped into it.Bill Loomis – Stifel Nicolaus Into what?Bob Coleman Into the total of about 700.Bill Loomis – Stifel Nicolaus Of people, okay.Bob Coleman Right.Bill Loomis – Stifel Nicolaus But, as we start to increase forces in Afghanistan, you mentioned, you are going to see some transition of just – do you think it will be a one-for-one, or I mean because we are not going to have nearly the amount of people or resources tied up in Afghanistan?Bob Coleman I think it is too early to tell right now. Right now, it is not a one-for-one.Bill Loomis – Stifel Nicolaus Okay, and then just one final question on the pipeline, the $11 billion, did that – did your $11 billion that hit last quarter, did that include $800 million in there for Countermine when you talked about pipeline last quarter?Bob Coleman Yes, I believe it did, yes.Bill Loomis – Stifel Nicolaus Okay, thank you.Bob Coleman Welcome.Operator We will have our next question from Brian Kinstlinger, Sidoti & Company.Brian Kinstlinger – Sidoti & Company Yes, Hi, thanks. The first question I had was related to, maybe placing down the road, as the government wants this bail out and has to figure out ways to pay for that, everyone is talking about Defense cuts, and mostly for the contractors, it sounds like there may a little bit of less money for growth, will that cause pricing pressure, do you think as contractors like yourselves all go after the same work more so than maybe in the past?George Pedersen It will not be pricing pressure in this segment of the market we are in because of the high-end technology aspect of it, but again as somebody else questioned, there may be facing pressures in some of the commodity areas, but not in the market we are normally in. Also, you have heard that this talk – that the $700 billion will be cut. I think when the new administration gets in, reality always sets in, and they already have $550 billion of what they need. The remaining funding is for the troops on the battlefield and I cannot envision a scenario that the first thing the new President would be – would do is withdraw funding for the troops on a battlefield, so we do not see the pricing pressure. We may not see the $700 billion go up year-to-year as has occurred over the past five years, but we do not see it being significantly different, and again, it is only 3% of gross actual product, and I know the nation needs money for all of these other issues, but I think it will come from some other source.Brian Kinstlinger – Sidoti & Company Great, and my second question was related to cash flow which was pretty strong with DSO coming down, what do you think a sustainable DSO is? And then given valuations – and we have heard that on another call today are still pretty high, could we see other uses of capital right now such as buybacks or anything else that you might use your cash for, sorry?Kevin Phillips Regarding DSOs, we believe that a 69 or 70 day is a target, especially in Q4 based on holidays and the government price processes. Going forward beyond that, you know, we have seen the trending toward the mid 60s and our goal is to get to that and to maintain that. We are very happy with what we have done so far, but going into Q4, we just think there is going to be a bump up in the DSOs based on the government payment cycle.Brian Kinstlinger – Sidoti & Company And your authorization in place that you might think about buying back stock is – as you get hit and while business remains pretty strong?George Pedersen At this point in time, I do not see a scenario where we would seek to buy stock back. I think a better utilization of our capital and credit is to continue to grow this company both internally and through acquisitions.Brian Kinstlinger – Sidoti & Company Great, thanks.George Pedersen It has worked for us over the past six years, and I do not see the point of changing at this point.Brian Kinstlinger – Sidoti & Company Okay, thank you.George Pedersen Thanks.Operator (Operator instructions) We have no further questions in the queue at this time. Thank you for participating in today’s conference call. This call will be available for replay beginning at 9 o’clock p.m. this evening through November 12th, 2008. To access the replay, please dial 1-888-203-1112 for domestic calls or 719-457-0820 for international calls using the conference ID number of 3312456. This concludes our conference call for today. Thank you for participating. You may now disconnect.